Operator: Welcome to the Aceto Corporation Fiscal 2013 First Quarter Results Conference Call. My name is Kim, and I will be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. This conference call may contain forward-looking statements as that term is defined in the federal securities laws. All statements that address expectations or projections about the future are forward-looking statements. Although they reflect our current expectations, these statements are not guarantees of future performance, but involve a number of risks and assumptions. We urge you to review Aceto’s filings with the SEC, including but not limited to Aceto’s Annual Report on Form 10-K for the fiscal year ended June 30, 2012 for a discussion of some of the factors that could cause actual results to differ materially. Copies of these filings are available at www.sec.gov. We do not undertake any duty to update any forward-looking statements. I'll now turn the call over to Mr. Ted Ayvas, Investor Relations Consultant at Aceto. Mr. Ayvas, you may begin.
Theodore Ayvas: Thanks, Kim. Good morning and welcome to Aceto Corporation’s fiscal 2013 first quarter conference call and audio webcast. With me today are Albert Eilender, Chairman of the Board and CEO; Sal Guccione, President and Chief Operating Officer of Aceto; Ronald Gold, President and Chief Operating Officer of Rising Pharmaceuticals; and Douglas Roth, Chief Financial Officer of Aceto. During this call, Al will provide a strategic overview, Sal will discuss the performance of our business segments, and Doug will provide an overview of the company's financial results for the fiscal 2013 first quarter ended September 30, 2012. Following that we will open up the call for questions. With that, I'd like to turn the call over to Al Eilender. Al?
Albert L. Eilender: Thanks, Ted, and good morning, everyone. We are very pleased with our results for the fiscal 2013 first quarter with total company sales of 10.3% to $111.7 million. Our sales increase reflects strong growth in both Human Health and Performance Chemicals, which had increases respectively of 16.1% and 23.4%. We continue to experience margin expansion in the quarter with 100 basis point increase in gross margin. This was primarily due to a more favorable product mix in Human Health and Performance Chemicals. Combined with the operating leverage we have spoken about in the past as business volume increases, these overall factors resulted in an 38.5% increase in earnings per share, compared to the first quarter of 2012 after adjusting for a one-time charges in that previous period. Doug will review the adjustment in more details in this portion of the call. These financial results clearly demonstrate our continued successful execution of our business plan. Our long-term pipeline is Rising Pharmaceuticals continues to be robust with good visibilities through fiscal 2013. As you may have seen, last Friday, we announced the signing of a definitive agreement to market and authorized generic of the FDA approved Covis Pharma’s Parnate product. This represents our first marketing agreement for an authorized generic and as part of our growth strategy for Rising Pharma. The authorized generics space is highly covenant and we have initiative in place to enhance our offerings in this regard. In total, we expect to launch approximately nine generic products in fiscal 2013 and we are also in excellent start in this first quarter. Overall, we remain optimistic about our growth prospects in all three of our business segments and I’m looking forward to reporting our continued success for the balance of fiscal 2013. As we said on our press release, while we remain confident in our ability to continue to drive overall corporate profitability, we would like to remind you that sales growth in Performance Chemicals is directly tied to the global economic environment and may show fluctuation from quarter-to-quarter. With the strong balance sheet, we are very well positioned to invest in our internal growth initiatives and to continue to pursue strategic acquisitions. One last point that I’d like to mention before I turn the call over to Sal is the 8-K we filed on November 1. The agreement that issued in the lawsuit filed in the United Kingdom by UPL Limited three days is in my joining the Aceto Board in 2000. UPL is a legend that a subsidiary of Aceto as agricultural chemical business has been reaching an agreement that was signed in 1995. As we stated, upon our review in the fact to the matter, we not only deny the allegations, but strongly believe that the claims are without merit. The matter is obviously complicated and despite the council, we cannot go into specifics. But less than short, we will vigorously defend our subsidiary and also when we expect to prevail. With that I now hand the call over to Salv for a review of our segments performance. Salv?
Salvatore Guccione: Thanks, Al, and good morning, everyone. I am going to start off with our Human Health segment, but this segment had a really solid first quarter. We achieved sales of $26.4 million in the first quarter of 2013, that’s a solid increase of 16% versus the first quarter of last year. Both Rising Pharmaceuticals and the Nutritionals businesses contributed to that growth. Rising accounted for most of the top line growth due to new products launched over the past year. With a strong new product pipeline, we remain especially excited about the prospects of our Human Health segment. Gross profit in the segment increased by 23% in the quarter to $8.1 million, up from $6.5 million in the first quarter of 2012. Gross margins were also strong expanding to 30.7% from 29% last year. This positive margin trend is due to a favorable product mix. I also like to note that we stepped up our R&D spending at Rising this year as we continue to invest in these new business opportunities for the future. Turn to the Pharmaceutical Ingredients segment, this segment saw a sale decline of 4% to $40.6 million this quarter versus last year’s $42.3 million. The decrease is due primarily to lower sales of pharmaceutical intermediates, most of that due to order pattern. The lower intermediate sales were partially offset by an increase in sales of active pharmaceutical ingredients related primarily to reorders of existing products. Gross profit in the segment was $6.6 million for the quarter versus $6.8 million last year. Improved mix resulted in gross margin of 16.2%, up slightly versus the 16% achieved in the fiscal 2012 first quarter. Regarding the Performance Chemicals segment, this segment had a strong quarter. Sales increased by 23.5% to $44.7 million in Q1, compared to $36.3 million in the first quarter of 2012. Growth was primarily driven by increased sales of agriculture products. In particular we saw strong sales on a product used on potato crops. We also saw a solid sales growth of herbicides used to control sage on rice and other other vegetables. And finally, a third product, which is a broad-spectrum herbicide also grew nicely. While I’m pleased with the segments strong sales growth this quarter, I would note that we believe there was some timing within the quarter and moved some sales into Q1 from later in the year. Regarding gross profit, the segment achieved $6.8 million in gross profit in the first quarter, compared to $5.2 million in the prior year. That’s an increase of 30%. Gross margin expands to 15.3% of sales, compared to 14.2% last year, reflecting mix and volume. So, overall a very good first quarter for Aceto and in particular within the Human Health and Performance Chemicals segments. With that, I’ll turn the call over to Doug.
Douglas Roth: Thank you, Sal and good morning. Net sales for the fiscal 2013 first quarter were $112 million, an increase of 10% from $101 million we reported in fiscal 2012 first quarter. Total company gross profit increased 16% to $21.5 million as compared to $18.5 million in the prior year. Our gross margin expanded to 19.2% as compared to 18.3% in the prior year. This resulted in our reporting a net income increase to $4.8 million or $0.18 per diluted share, compared to $3 million or $0.11 per diluted share in prior year period. This equates to an increase of approximately 59% and 64% in net income in earnings per share. Now if you remember last year’s Q1 results included a pre-tax separation charge of $884,000. If we were to exclude the separation charges, adjusted in net income and adjusted net income in fiscal 2012 first quarter was $3.6 million or $0.13 per diluted share, based on this adjustment, net income in the fiscal 2013 quarter increased by 35% and EPS increased by 39%. Finally, our financial position as of September 30, 2012 continues to be strong, as we had cash, cash equivalents and short-term investments of $25 million, working capital of $127 million and shareholder equity of $174 million. The cash balances are after our September 2012 dividend of $0.055 per share. As you know, we recently moved over to a quarterly dividend payment from semiannual. The September dividend represented our first ever quarterly dividend payment. Now with that said, I would like to open up the call for questions. Operator, if you can please discuss.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) And at this time we have a question from Daniel Rizzo from Sidoti & Company. Please go ahead.
Daniel D. Rizzo – Sidoti & Co. LLC: Good morning, guys.
Salvatore Guccione: Good morning.
Albert L. Eilender: Good morning.
Daniel D. Rizzo – Sidoti & Co. LLC: You indicated that in the Pharmaceutical Ingredients segment that intermediates were weak just due to order pattern. Would that suggest that that you expect it to pick up next quarter that there will be some catch-up while later in the year?
Salvatore Guccione: Yes. There is a combination within the order pattern sound that with a regular purchases, they don't come on any particular quarter. So we had some orders come in last year this time, but doesn't repeat in this quarter, but we would expect those to come in later in this year not all of it, but some of it.
Daniel D. Rizzo – Sidoti & Co. LLC: Okay. So they do generally like smooth out a bit annually?.
Salvatore Guccione: Yes.
Daniel D. Rizzo – Sidoti & Co. LLC: Okay. And then in Performance Chemicals, I know the crop protection part of that was fairly strong. Is the chemicals part of that, the intermediate chemicals part of that, is that weaker to the economy, is it getting better, probably add color to that?
Salvatore Guccione: I would say, so the majority of the growth was driven by the agriculture products as I noted. The balance of the business, I would say was not stronger, was not weak, it was kind of stable versus a year ago.
Daniel D. Rizzo – Sidoti & Co. LLC: Okay. And then I know you had net gains on your below the line, you took more money than the income tax expense was, but can just tell me what the income tax expense was for the quarter?
Douglas Roth: Yes. Our income tax expense is on the press release, the actual provision was $2.8 million.
Daniel D. Rizzo – Sidoti & Co. LLC: I’m sorry, maybe I guess I missed that.
Douglas Roth: Yeah, I misunderstand to your question or is that…
Daniel D. Rizzo – Sidoti & Co. LLC: Well, and so I think when I was going to the quarterly results, you had not taxes, our interest expense, that’s right, the interest expense?
Douglas Roth: Okay, yeah. The interest expense was down from the prior year. Our interest expense was $546,000 as opposed to $755 last year for the same quarter. The reason is, our borrowings were down and the rate of borrowings were down, we were able to renegotiate a little bit with our banks this year and so we are paying a little bit less to borrowing money.
Daniel D. Rizzo – Sidoti & Co. LLC: Are you going to be using your cash to pay down that debt further, or do you have other plans for the money?
Douglas Roth:
Daniel D. Rizzo – Sidoti & Co. LLC: Okay, all right. Thanks, guys. Good quarter.
Albert L. Eilender: Thank you.
Operator: Thank you. Our next question comes from Kevin McCanine from Main Line Capital. Please go ahead.
Kevin McCanine – Main Line Capital: Hi, good morning, guys. Excellent quarter, thank you very much. I really want to applaud management for taking the time and effort and obviously the expense of getting out on the road to tell this Aceto story. What are your plans in the next year to tell that story more often?
Albert L. Eilender: Well, certainly we feel that getting on time we see the story is important. As we look at the stock price, I pretty much, I guess like a lot of other companies, we feel our stock is currently undervalued. We would like to use our stock as currency is and when we do another deal. So getting the stock price up has some value for us from a financial perspective. The idea of going out there, we’re active, so we are going to participate probably in two or three Investor Conferences plus of course, we’re trying to participate with our major shareholders. So it's going to be an ongoing process.
Kevin McCanine – Main Line Capital: Are there any plans for going the other way and maybe go into Europe in telling that story?
Albert L. Eilender: Not at the present time there isn’t, but we certainly open to suggestions along those lines.
Kevin McCanine – Main Line Capital: All right. Thank you very much. Great quarter.
Albert L. Eilender: Thank you.
Operator: Thank you. Our next question comes from Bruce Winter, a Private Investor. Please go ahead.
Bruce Winter – Private Investor: Yes, thank you. I called in, because I want you to help me connect the dots on your agricultural protection products. I understand, your first quarter was strong. I understand that it might not continue to be strong for other reasons. According to your 10-K, agricultural products were down, excluding (inaudible) in fiscal year 2012. Most of the agricultural chemical companies like FMC, American Vanguard, [Kentor] have been reporting strong agricultural chemicals throughout this whole period. And then finally, for me 2011 10-K, it says, our current pipeline in Agricultural Protection consists of two products, which have been filed for EPA registrations et cetera, et cetera, et cetera, Our plan is to continue to develop this pipeline and bring additional products to in a similar manner. So I think these are conflicting data points and I’m just wondering if you could connect the dots and tell us what you planned to do on the future in agricultural products and as what I perceived as a strong market?
Albert L. Eilender: Sure. So just to put on prospective, agricultural products within Aceto, it’s a relatively small piece of the business, but nonetheless a good one. Our strategy has been continues to be to selectively gain registrations where we think the market can bear a new entrant. We’re not an innovator source people. We’re not developing new agricultural products. So we acquire and develop registrations, we’re appropriate, we’ll continue to do that, in a fashion that the more niche in nature. So the bottom line as we’ve got whole team without pushing the ag products as we can, the existing ones and we’re developing others over time.
Bruce Winter – Private Investor: Okay. What do you think of the impact on the American Vanguard potatoes sprout inhibitor will be if and when it’s approved?
Albert L. Eilender: I’m sorry, say it again.
Bruce Winter – Private Investor: If and when the American Vanguard potatoes sprout inhibitor is approved, what do you think the impact no Aceto will be?
Albert L. Eilender: Yeah, I think any individual products at Aceto including the potatoes sprout products are small. Aceto has lots of customers, lots of products. So our product is a solid one. It will continue in the marketplace with the customers we have, certainly anytime another product is approved, one might see a loss in the marketplace. But looking at entirely of Aceto, it’s a relatively small impact on the company if any.
Bruce Winter – Private Investor: Okay. And what is the status of your companion animal vaccines and the distribution of APIs to Japan?
Albert L. Eilender: Yeah, well, two different questions. The vaccine project really as I probably talked about in past communications was not really core to Aceto’s business. We put a lot of effort into getting a registration from the USDA. We’ve had an agreement with another company to do the actual marketing of the product. There is a field introducing a new vaccine products, it’s a process. So our product was not universally accepted as others in the sense that our product was a 4-in-1 vaccine whereas the competitive products were 5-in-1. But nonetheless, we had some sales out of the products, we are not optimistic that it’s going to be a meaningful part of our life and quite honestly it is not in anyway related to any of our businesses. So I wouldn’t look to that to be going forward additive to our profitability at all. What was, I am sorry…
Bruce Winter – Private Investor: APIs to Japan?
Albert L. Eilender: In Japan, again that was a very small initiative. Japan is receptive now for looking at products coming out of the west, but it’s a very slow process, they are very deliberate in their decision-making process. So there too, it’s an initiative. We have ongoing relationships that follow up, but hopefully over the next few years, it will start to bring some results to the bottom line. But again, I would think of that as a project that we have any meaningful impact on our earnings going forward over the next one to two years.
Bruce Winter – Private Investor: Okay, thank you for that. And then finally under the Rising business, what happened to the Aceto business that was the same as the Rising business as you acquired Rising. Did you move the Aceto business to New Jersery, did you put it under your Mr. Gold, how about regulatory affairs, compliance sourcing, how does that all get put together?
Albert L. Eilender: Well, it’s a pretty complex question, but I’ll break it that by dealing with the first part of the question. We had one product that was being marketed through another generic Rising like company that was a new profit. That company over the last couple of years have chosen not to go forward with it. They felt that the market for the product and your profitability were do not necessarily to their liking. So they chose to drop out of that. We have two other products that we are currently offering to someone other than Raising. We have sort of a Chinese wall here between the businesses. So Rising is run as a standalone subsidiary, and last year you can talk about their pipeline. But the relationships that core Aceto had was a few of the other Rising like companies have been maintained, and as far as transferring over, that’s not in the cards. So what Aceto is doing is, we closed the core Aceto business with generic distributors is an ongoing effort, it’s very minimal, but it’s continuing, what Raising is doing, it is sort of a separate company being run independently.
Bruce Winter – Private Investor: Why wouldn’t you consolidate the under Mr. Gold who seems to be doing other job. Why wouldn’t you consolidate the regulatory affairs to quality control on the sourcing? Why have two separate paths?
Albert L. Eilender: Only because we had prior commitments with these other companies before we acquire Rising and we felt ethically that we should continue to honor those. It’s very small. Don’t think of this is anything significant, but it’s a question of the companies we had these commitments, we felt ethically to continue it. The other companies are well aware, the fact that we have Rising, and then Rising as our major outlet for generic drugs. But again they’ve chosen to continue to market the product and we’ve chosen to continue to supply them.
Bruce Winter – Private Investor: Okay. And then Mr. Gold, has he been able to take advantage of any of your expertise, which you do have been in regulatory affairs, quality control or sourcing? Is Mr. Gold have been able to use of that benefit from Aceto?
Albert L. Eilender: Well, Mr. Gold is here, and the answer is absolutely. That’s really what I call the synergies of the acquisition, but I could speak to what’s going on in this pipeline now. But the way we sort of look that is initially when we did the acquisition, we’ll call it domestic. We focused business, not just from a marketing point of view, but also from the sourcing point of view. I think Aceto’s global sourcing capabilities, our regulatory capabilities, although it’s a very good value to Rising and to growth that he has already seen and we anticipate over the next few years are in fact do in large measure to the combination of the skill set that Aceto had that we’ve been able to part to Rising.
Bruce Winter – Private Investor: Okay.
Operator: Okay. I’m sorry Mr. Winter. We ask that you rejoin the queue to allow others to answer questions at the time being.
Unidentified Analyst: Sure, sure. I’ll be anyway pretty soon, so let’s get going.
Operator: Thank you. Our next question comes from Lenny Dunn from Freedom Investors. Please go ahead.
Lenny Dunn – Freedom Investors Corporation: Good morning, a very good quarter. My question is just to the Rising situation. It seems like you keep getting more and more generic drugs. So should we look forward to Rising larger contribution to earnings there?
Ronald Gold: Well, I hope so. This is Ron Gold from Rising. I don’t analyze how our division or Human Health on Rising’s division will affect all of the company’s earnings. But we continue to build the pipeline and we’ve been having good bringing the products to market. So I foresee it continuing and so far everything looks terrific.
Albert L. Eilender: Lenny, keep in mind, for the sort of, for the little more color into this. Rising does have the highest margins of any of our businesses. So as that business continues to grow, it’s going to have a positive impact on overall earnings for the corporation.
Lenny Dunn – Freedom Investors Corporation: With that I am aware of which is where I asked the question, but I see regular announcements of new generics coming out and I think there is really the growth situation?
Salvatore Guccione: Absolutely, and that’s frankly one of the reasons that we did the acquisition a couple of years back. And as we look at the mix of businesses, we are going to see though, and there is a mix. Rising is from our point of view, we expect it to have the highest growth rates going forward.
Lenny Dunn – Freedom Investors Corporation: Thank you.
Operator: Okay, thank you. Our next question comes from Bill Jones from Singular. Please go ahead.
Bill Jones – Singular Research: Hi, guys. Thanks and congratulations on the quarter.
Salvatore Guccione: Thank you.
Bill Jones – Singular Research: I wanted to ask, you mentioned in the press release that sales growth in Performance Chemicals is directly tied to the global economic environment. Although I will say, 23.5% growth is obviously a lot stronger than the economic environment. But as we see here now, nearly half way through the next quarter, how are you feeling about the economic environment in general and its impact on the business?
Salvatore Guccione: I think, as we’ve had almost for the past couple of years, right, the economic environment has been choppy and we get periods where it seems that we are heading towards recession and you’ve got issues in Europe, in Greece, Spain, et cetera. We are kind of back in a little bit of a pack mode now in Europe again, and then you get peers where folks were coming out of this and we are going to have kind of the long slow growth. So, the signals that we’ve gotten, I think like anyone else have been mix and continually mix. So that’s kind of on a broad macro scale. I think we will have kind of these cycles going through. I think on a long-term basis, our products are many markets, many diverse markets, and I think we will see kind of the average of kind of world growth, all right, or at least western world U.S. and Europe, again our business is primarily sell into the U.S. and then in Europe. So as those economies go, I think over the long run sole of that business. So we are a small piece of that total pie, so we might see quarters where we outperform. One might see in the dynamics that are out there and then other quarter we will underperform just because we’re a small of piece. But in general, over the long run, we expect to this to be kind of a GDP type business.
Bill Jones – Singular Research: Okay. Thank you for that. And one other question in Human Health, forgive me if I missed it. But how many new products were launched in Q1.
Albert L. Eilender: Two.
Bill Jones – Singular Research: Okay. So we expect seven more for the remainder fiscal year.
Albert L. Eilender: That’s the four, I guess.
Bill Jones – Singular Research: Okay. Well, again thanks. Thank you for taking my questions.
Albert L. Eilender: Thank you.
Operator: (Operator Instructions) And at the time our final question comes from (inaudible) a Private Investor. Please go ahead.
Unidentified Analyst: Congratulations as well on a terrific quarter, really when you consider the landscape lousy quarters reported by people that are in similar space I met are really terrific. You guys have demonstrated this kind of grow the top line and the bottom line, I mean I just can’t say…?
Albert L. Eilender: Thank you.
Unidentified Analyst: You’re welcome. This is a question about the potato sprout inhibitor, and I realize this is a very old product and very small niche product and almost it doesn’t bear it at second question in the conference. But this loss would considerably take, I would guess a few years to go to trial in London court jurisdiction. In that interim period, you foresee any interruption in this supply sources or current supplier, any change in the economics there and do we have a second source? Could we return on a second source relatively quickly? What you back with that in the economics of the business.
Albert L. Eilender: It’s unrelated question, I mean Doug could us the EBITDA for the quarter. Thank you again.
Salvatore Guccione: Great, thanks. So just to be clear, we have a multiple suppliers already in place. So we’re comfortable from a supply point of view on a potato sprout inhibitor that were fine and were covered. So as you said, litigation could go on for a quite sometime from a business point of view. At this point, we feel good about our source of supply and ability to get to market.
Douglas Roth: And [Luster] the EBITDA for the trailing 12 months is just short of $37 million, and for the quarter it’s just short at $9.9 million.
Unidentified Analyst: Thank you very much. Doug, but some of that’s in New York, that is still in the dark, it’s going to take a while maybe to read that $10 million. So thank you again, congratulations Doug.
Douglas Roth: Thanks [Luster].
Albert L. Eilender: Thank you.
Operator: Thank you. This concludes our question-and-answer session. I’ll now turn the call back to Mr. Eilender for closing remarks.
Albert L. Eilender: Well, I thank everybody for taking the time, and again we look forward to next quarter and our continued participation in this conference call. So again thanks for your patients and have a great day. Thank you.
Operator: Thank you ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.